Operator: Good day and welcome to the AdvanSix First Quarter 2020 Earnings Conference Call. Today's conference is being recorded. After today's presentation, there will be an opportunity to ask questions. [Operator Instructions] I would now like to turn the conference over to Mr. Adam Kressel, Director of Investor Relations. Please go ahead, sir.
Adam Kressel: Thank you, Chantel. Good morning, and welcome to AdvanSix's First Quarter 2020 Earnings Conference Call. With me here today are President and CEO, Erin Kane; and Senior Vice President and CFO, Michael Preston. This call and webcast, including any non-GAAP reconciliations, are available on our website at investors.advansix.com. Note that elements of this presentation contain forward-looking statements that are based on our best view of the world and of our business as we see it today. Those elements can change and the actual results could differ materially from those projected, and we ask that you consider them in that light. We refer you to the forward-looking statements included in our press release and earnings presentation. In addition, we identify the principal risks and uncertainties that affect our performance in our SEC filings including our annual report on Form 10-K as further updated in subsequent filings with the SEC. This morning, we'll review our financial results for the first quarter and share our thoughts on the COVID-19 pandemic, and outlook for our key product lines and end markets. Finally, we'll leave time for your questions at the end. So with that, I'll turn the call over to AdvanSix's President and CEO, Erin Kane.
Erin Kane: Thanks, Adam, and good morning, everyone. Thank you for joining us and for your continued interest in AdvanSix. First, I'd like to start off the call by offering our condolences to all who have been affected by the COVID-19 pandemic. I hope that everyone listening today as well as their families and coworkers are healthy and staying safe. We are clearly in an unprecedented times, and I also want to send my heartfelt thanks and appreciation to our 1,500 teammates at AdvanSix. This crisis has impacted all of our professional and personal lives in many. We have adapted our routines, work schedules and even how we work. With the challenge, there will come many opportunities. It has forced our collective organization to be even more agile, efficient and creative with our processes while innovating on our strengths along the way. As we highlighted in our March 31 press release, the business of chemistry in our specific industry was designated as essential during the response to COVID-19 for both public health and safety as well as community well-being We take our obligation seriously to produce materials that support the broader population, while maintaining a relentless focus on health and safety. At the onset of the crisis, my leadership team began to meet daily as part of our organization's broader tiered accountability meeting structure to ensure we stay aligned on key priorities identify potential risks and opportunities and maintain a continuous communication feedback loop throughout the Company. Daily communications to the organization highlight areas of focus as well as the great work being done by our employees each day. I continue to be inspired by the teamwork, collaboration and nimble decision-making that is happening across the board. Above all, health and safety remains our top priority and core to who we are as we navigate through the environment. Significant efforts and actions have been taken to protect our employees, customers, suppliers, shareholders and surrounding communities, including derisking our previously scheduled second quarter planned plant turnaround and shifting a majority of the work into the third quarter. We are very pleased with the results our practices and protocols are delivering. With the significant challenges the world is facing from COVID-19 pandemic, we have restructured our call today to focus on the key information we believe is most important to our shareholders. Mike will briefly review our first quarter results, and then we'll spend most of the call highlighting our response to COVID-19 from a health, safety and operations perspective as well as actions we're taking to support a financial position. We'll also dive in what we're seeing from an industry and end market perspective. While we do expect nylon demand weakness to continue particularly in carbon engineered plastics applications tied to consumer demand, we do see resilience across various other product lines, including our acetone for hand sanitizer and acrylic screens, nylon for food packaging and granular ammonium sulfate into the heart of the domestic planting season. Our integrated asset base, global low-cost position and diverse co-product portfolio served us well in the first quarter. And as we progress through the second quarter, we're executing our business continuity plans to ensure we remain a trusted partner for reliable supply to our customers. There is considerable uncertainty regarding the duration of this crisis, the pace of recovery and the impact it potentially will have on the global economy. The good thing is that AdvanSix is starting from a strong foundation. The assets we have, our business model, global cost advantage and resilience across the organization, give us a great base to build upon and navigate through these dynamics. With that, I'll turn it over to Mike to discuss the details of the quarter.
Michael Preston: Okay. Thanks, Erin, and good morning, everyone. Now I'm on Slide 4, where I'll review the first quarter financial results. And keep in mind the first quarter results were largely unaffected by COVID-19. Sales in the quarter were $303 million, that's down about 4% compared to last year. Pricing overall was down about 10%, primarily due to an 11.5% unfavorable impact from market-based pricing, reflecting challenging end market conditions in our nylon and caprolactam product lines as well as higher standard export sales mix in ammonium sulfate. Raw material pass-through pricing was favorable by about 1%. Volume overall was up about 7%, primarily due to higher standard ammonium sulfate export sales and improved industry dynamics in chemical intermediates, particularly acetone and oximes. EBITDA was $29 million in the quarter, down about $13 million versus the prior year. And I'll walk through the key variances on the next slide, but the decrease primarily reflects the unfavorable impact of low market-based pricing. Earnings per share of $0.31, decreased $0.37 compared to last year. You'll notice the effective tax rate of 29.9% in the quarter was higher compared to last year and expectations, and that was driven by a few factors, including reduced benefits from equity vesting and expected deduction loss as a result of our plan to pursue of federal net operating loss carryback claim allowed through the CARES Act, which is expected to improve cash taxes by approximately $8 million this year. Despite the tax rate in the first quarter being above expectations, we continue to expect the full year tax rate to be approximately 25%. And now in terms of share count, first quarter came in at $28.1 million compared to $29.8 million in the prior year period. And lastly, cash flow from operations reached $20 million in the quarter that's down about $22 million compared to last year, primarily due to lower net income and the unfavorable impact of changes in working capital. CapEx of $34 million was down roughly $5 million year-over-year. Now let's turn to Slide 5. We thought it would be helpful to highlight a few of the key drivers of our EBITDA performance year-over-year. As I mentioned earlier, market-based pricing represented a significant headwind, roughly $37 million as a result of the continued challenging conditions in nylon as well as lower ammonium sulfate prices year-over-year in part due to the unfavorable mix impact of higher export sales of standard grade products. Lower input costs, namely natural gas and sulfur, partially offset the overall pricing decline. Planned plant turnarounds were an approximately $2 million impact in the quarter this year versus no impact in the first quarter of 2019. The cumene impact following the shutdown of Philadelphia Energy Solutions 2019, represented only an approximately $1 million impact in the quarter that's well of the runway we had seen in second half of last year. We are further optimizing our supply chain as we have aligned our cumene supply. We now expect the full year 2020 impact to pretax income as a result of the 2019 PES supplier disruption and shutdown of $5 million to $10 million. Now that's about $5 million favorable versus our previous estimate and is approximately flat to $5 million favorable compared to 2019. In addition, we have submitted a business interruption insurance claim, and we'll provide updates on that progress as appropriate. SG&A expense represented an approximately $3 million benefit year-over-year, reflecting a decrease in stock-based compensation and IT costs, and continued disciplined cost management across the organization. Lastly, we saw an approximately $10 million net tailwind from higher volume, operational performance and other factors. This includes productivity benefits from our natural gas boilers at Hopewell, which have continued to exceed our return expectations. As you recall, in the first quarter of 2019, we had two one-time considerations, which largely offset each other a roughly $6.6 million of insurance proceeds related to the first quarter of 2018 weather event and the approximately $8 million impact of the phenol force majeure. Now let's turn to the next slide. As a reference, we've included our typical pricing and spreads across our product lines altogether here on Slide 6. Consistent with our results, global caprolactam spreads over benzene continued to decline sharply on a year-over-year basis in the first quarter. The declines reflect a weak demand environment across most major end users in what is already an oversupplied industry globally. We are also tracking the significant drop in benzene costs seen in March, which the caprolactam price is more closely followed. Downstream resin spreads in the industry did show an expansion over the falling raws in caprolactam, however, transaction volume in the industry at these levels was very low, and we've already begun to see it correct back to roughly the $200 to $300 range per ton as we entered the second quarter. Asia, benzene and capro spreads averaged roughly $600 per ton in the quarter, and that remains at levels below cash costs for more than half of the gold caprolactam cost curve and approximates the trough levels we saw in 2016. Overall, nitrogen industry pricing has also declined on a year-over-year basis, tracking lower global energy prices. Based on third-party data, we've seen more modest ammonium sulfate industry by movement as compared to recent urea pricing, which, as you recall, is the largest nitrogen fertilizer by total consumption. And lastly, industry realized acetone prices over refinery grade propylene costs stabilized in the first quarter tracking and improved supply and demand balance in the U.S. following final affirmative antidumping duties and increased downstream demand. The month of March saw a significant drop in propylene input costs and expansion in small medium to medium buyer acetone prices back to a premium to the large biomarker. As a reminder, the small medium buyer price is reflective of roughly one-third of the domestic industry, where pricing is predominantly freely negotiated. Now let me turn the call back to Erin.
Erin Kane: Thanks Mike. Let's turn to Slide 7 to discuss some of the actions we've taken in the wake of the COVID-19 pandemic. For the last two months or so, we've been executing our business continuity plans with dedicated teams proactively implementing measures to mitigate COVID-19 impact, while continuing to operate all our manufacturing facilities to meet customer demand. The health and safety of our employees remains top priority throughout all of this. We have protocols in place, including on-site medical personnel and to actively monitor employs and contractors. We have also adapted the way we work to mitigate risk, including implementing 100% thermal screening processes at all manufacturing facilities with restrictions on nonessential visitors. We've established social distancing while limiting the number of employees in control rooms, labs and meetings. And we're maintaining policies and practices consistent with CDC and government guidelines, including upgraded personal protective equipment, face covering at all manufacturing facilities. We moved to telecommuting across all sites where possible, prohibited all nonessential domestic and international business travel. I mean in addition, we've proactively trained a contingent workforce to operate the plants as part of our business continuity planning. As I highlighted earlier, the previously scheduled second quarter 2020 plan plant turnaround was derisked with the majority of the work shifted to the third quarter in order to limit the number of contractors on-site and ensure operational continuity in current environment. We also remain confident in our financial position. At the end of the first quarter, we had approximately $31 million of cash on hand with approximately $87 million of additional capacity available under our revolving credit facility. Our $425 million revolving credit facility provides a base source of liquidity for the business in addition to our operating cash flows and matures in 2023. As a precautionary measure in the current environment, we are currently maintaining higher cash balances of approximately $75 million. As a reminder, the leverage ratio covenants of our facility allow for us to net debt with up to $75 million of cash. Our previously announced amendment to the facility executed in the first quarter, also provides us with leverage ratio of covenant flexibility in 2020. In addition, we're actively assessing potential incremental borrowing capacity under the facility's uncommitted accordion feature. Now we're also driving a disciplined approach to cost management, including all discretionary spending and are planning a further reduction of capital expenditures. We now expect CapEx for the full year 2020 to be in the range of $80 million to $90 million, which represents a reduction of $10 million from our previously announced estimates and a decrease of $60 million to $70 million versus 2019. We're continuing to evaluate the potential impact of the CARES Act and other government stimulus programs to optimize cash flow, including provisions for taxes, employment-related costs, deferral pension funding obligations and options for liquidity, which Mike will elaborate on in a moment. So let's turn to Slide 8. On the left-hand side of this page, we provided a framework of potential impact by key end market. The chart represents an estimated percentage of our total sales, ranging from low-to-moderate to high exposure from COVID-19 impacts. On average, 75% to 80% of our sales are concentrated in the moderate exposure. But I must say visibility remains mixed across many end markets. Our highest demand risk in the near-term is linked to more consumer-oriented end markets. Global auto production shutdowns and demand weakness in consumer durables are expected to impact our nylon and chemical intermediate product lines. Textile demand declines in Asia are also impacting nylon industry's supply and demand conditions. Although textiles are not a significant end-use for AdvanSix sales directly, they do represent the largest nylon end-use globally and are impacted by the greater consuming U.S. and Europe markets, which are all facing significant lockdowns and declines in economic activity. We're also keeping a close eye on building construction trends as well as carpet demand, which are expected to remain weak as a result of COVID-19. Conversely, food packaging demand for nylon, which is preferred for its toughness and strength has been robust with inventories at grocery stores seeing rapid turnover. Through this period, we've continued to see strong demand signals from the ag side of the business, as we sell our ammonium sulfate fertilizer into the heart of the spring planting season. The second quarter is historically our strongest quarter domestically for higher value granular ammonium sulfate sales. We've seen an earlier start to the planting season this year compared to last year, which, as you'll recall, was delayed by wet weather across regions of the U.S. We've also seen improved acetone industry supply/demand balances following final affirmative antidumping duties imposed in March. Demand has improved for several central applications, including isopropyl alcohol or IPA, used for hand sanitizer and other disinfectants, methyl methacrylate or MMA, which among other things, have seen increased demand for our acrylic screens uses protective equipment at stores as well as other solvents using coatings. Visibility across the portfolio is only a few weeks out, which in many cases is not too different than how our orders typically come in. Our customer base is very steady with long-tenured top customer relationships, and we've been in even greater lock stuck with them these last several weeks. We've increased the frequency of our pulse checks and decision points through our sales, inventory and operations planning teams to respond quickly to demand signals. We've seen a roughly 20% to 30% reduction in nylon industry demand in April, which we addressed proactively by proceeding with our planned plant turnaround at Chesterfield. There has been some demand pickup in Asia as economies reopen in the region, and we're leveraging our core strengths in global low-cost position to optimize our sales mix across the portfolio for this environment. Despite some reduction in utilization in April, we're still running disproportionately higher, which at a minimum is 10% to 15% above the industry average. Now more than ever, we are flexing our ability to remain agile on product mix and plant utilization. We're also driving improvement through our differentiated products with recent commercial wins for our coupon offerings into the packaging space, ongoing field trials in soybeans to continue growing underlying ammonium sulfate demand and investments in high-purity applications across our intermediates portfolio to improve quality and yields. So let's turn to Slide 9. An additional watch point for our business as a result of COVID-19 are implications to refine utilization in the U.S. with the vast majority of the population not driving or flying, there has been a contraction in demand for transportation fuels. Some refineries in the U.S. are dropping output by 30% to 50%, and are managing storage constraints on the back of a significant inventory build. We are closely monitoring any potential impact this may have on supply of our key raw materials, most notably cumene and its input of benzene and propylene as well as sulphur, which are product streams of refinery operations. Our team has been hard at work to ensure security of supply. We've added two new cumene suppliers this year and diversified our sulfur supply as we continue to maintain optionality through our supply chain. We've also seen a significant drop in oil prices in recent weeks. While in the past we use oil prices as a general proxy and indicator for raw material price movements, our business is based on benzene and propylene inputs, which do have their own supply and demand driven fundamentals. For instance, in Q1 sequentially, benzene rose 8%, while refinery grade propylene fell roughly 20%, all well WTI crude moved down on average approximately $10 quarter-to-quarter. We thought it would be helpful to briefly review our pricing mechanisms in this context. We primarily mitigate raw material input price risk through formulary index-based price agreements, which span roughly 50% of our total revenue base. We anticipate a modestly higher exposure to spot sales in the near term, given the demand environment and decline in customer contract volume. We typically see formulary index-based price agreements in place in our nylon business, in particular, caprolactam and some of our resin sales and across parts of our chemical intermediates business. Our selling prices in these instances are indexed to the price of raw materials, benzene or propylene. So our sales will fluctuate with the price of key raw materials with our variable margin being largely protected. The remaining roughly 50% of our revenue is what we would consider market-based pricing. Pricing for this part of our portfolio, including all of the ammonia product line -- ammonium sulfate product line and the rest of our nylon intermediates, is influenced by supply and demand dynamics in the various industries we serve as well as marginal producer economics. The underlying raw materials will also impact pricing where negotiated selling prices can lag up to 30 to 60 days with movement in those commodity inputs. Lastly, with a sharp drop in oil prices, we're also monitoring the impact on industry cost curves. As we've discussed before, lower energy inputs flatten the cost curves, and this can result in some pricing pressure. In particular, we're watching potential impacts that lower energy environment may have on the pricing into the second half of the year for nitrogen fertilizer. We believe our core strengths will continue to serve us well and resilience in our operating model enables us to perform in any energy environment. Let me turn the call back to Mike to wrap up before we move into Q&A.
Michael Preston: Okay. Thanks, Erin. I'm now on Slide 10 to summarize our outlook for the rest of the year. We've also highlighted some key considerations that can impact our outlook as we move forward here. From a product line perspective, Erin highlighted many of the impacts we're seeing on our businesses from COVID-19. Nylon demand weakness and reduced global industry operating rates are expected to continue. We'll also be closely watching for any demand signals around both residential and nonresidential construction, auto production and textile growth out of Asia. So while we're navigating challenges in nylon, we do remain cautiously optimistic about our view on ammonium sulfate and chemical intermediates, particularly acetone. We will be closely monitoring the impact of lower energy prices on nitrogen pricing in the second half. Now operationally, we're continuing to support safe and stable operations, while adjusting our production output to changes in mix and demand. So while we're working to mitigate near-term impacts to absorption and volume as a result of COVID-19, we are maintaining utilization rates above industry output by leveraging our global cost advantage. Erin highlighted the changes to our plan and turnaround schedule for 2020, which is now expected to be a pretax income impact of $30 million to $35 million or down about $3 million from our prior estimate. The heaviest impact is expected to be in the third quarter of this year. From a cash perspective, we've highlighted our expectations for further reduction of CapEx spend in 2020, as we continue to assess opportunities to maximize free cash flow in light of current and anticipated economic conditions. We have a number of tailwinds from a cash flow perspective, particularly as we progress through the year and continue to expect stronger cash flow generation in the second half compared to the first half. This primarily reflects the significantly lower CapEx run rate and other working capital timing considerations. Our annual ammonium sulfate prebuy cash advances program is another consideration for cash flow linearity. This occurs in the fourth quarter typically for spring sales in the following year. We're driving disciplined cost management across the organization, including all discretionary spending. As a result of our actions, we're targeting an approximately $10 million to $15 million full year cost reduction versus the prior year, including indirect cost savings, managing people costs and other plant spend and logistics benefits. And while we continue to evaluate benefits of the CARES Act, we do anticipate approximately $8 million of cash tax savings in 2020 and an approximately $6 million cash tax -- cash benefit in 2020 from the deferral of social security taxes. Given the puts and takes across the portfolio, we expect free cash flow to remain negative through the first half of the year. However, second half free cash flow is expected to be positive with lower CapEx spend and working capital timing impacts more than offsetting the headwinds in the early part of this year. We're continuing to leverage our strengths and are committed to driving best possible outcomes, which will require us to remain agile as we navigate through the near term environment. Now with that, Adam, let's move to Q&A.
Adam Kressel: Great. Thanks, Mike, and Chantelle, if you can open up the line for Q&A.
Operator: Thank you very much. [Operator Instructions] Our first question will come from Vincent Anderson, Stifel.
Vincent Anderson: Belated congratulations on the acetone win. I wanted to go through kind of the commercial plan for maintaining high utilization rates in the second and potentially into the third quarter when it comes to placing capro. With your cost position, you'd like to move every time you can, but if we were to see something like a 30% drop in nylon demand, is the physical capacity in the global capro trade channels for you to move that much incremental capro if we're down at these levels for more than a couple of months?
Erin Kane: Great, Vincent. Thanks for the question, and glad you're well, and joining us here this morning. So as we mentioned, we saw that in April, certainly, if that continues to be extended. As we indicated, we do see the opportunity, right, provided there our demand signals around the globe to continue to run well across our integrated asset base. So the export markets, as you can imagine, certainly, given the way that pandemic kind of came across the globe and if the expectation is that it reopens in the same construct, that the Asian demand signal we saw at the end of April, continuing here into early May, is important, obviously, for us here. And then recognizing that as markets continue to reopen, that optimization, right, of where our mix is placed will happen in a post recovery world. So we've been focused on making sure we've got the right quality, the right product mix to meet basically where the demand signal is, right, in this environment. So that is the plan. And again, we did see some turn down in April. We proactively took the outage in chesterfield that helped us mitigate that here in the near term. And then we'll look to leverage, like you say, our competitive strength. And we do believe that we're roughly about 5% of the world's capacity and with the strength that we have, believe that, again, that will serve us well and be disciplined in that fashion.
Vincent Anderson: And you led right into my next 2. Just quickly, you mentioned the outage and Chesterfield. How much do you depend on external contractors for your turnarounds? And is there any risk to labor availability this year from a timing perspective?
Erin Kane: It's a great question. And certainly something that played heavily into our decision to derisk our Q2 outage. If you recall, Q2 outage was going to be a multi flight outage. We're integrated across our Frankfurt, Hopewell as well as Chesterfield. That allows us to maintain rates, as you know, in our previous outages. And it allows us to get efficiencies. When we reflected on as the National Emergency was declared here, stay-at-home orders were going into place. To conduct that outage as is in Q2, would have required nearly 1,000 contractors across our site. So when we looked at the health and safety of our teammates as well as the health and safety of our contractors and just availability, we felt it was very prudent to derisk and shift out the majority of the work. So the chesterfield outage was successfully done. I think it was great protocols. We figured out how to get the work done with two feet social distancing as well as improved PPE and facial covering. And that outage is -- we're coming back out of that and ramping the plants back up and was successful from a health, safety, environmental perspective as well as getting the work done in an adventitious time. So we'll look to Q3 and again, making those decisions to learn a lot. Obviously, we if have considerations on how long the pandemic last and obviously the spread and transmission, we believe we'll be very well prepared to execute in Q3 even as contractors come on site.
Michael Preston: Yes. And Vincent, the only thing I'll add there is that the contract as well as our employees will be subject to the same screening and the same protocols that we have in place to protect our operations. So we talked about thermal screening of anyone who's visiting our site, and that would include contractors as well, as well as protocols around on-site medical personnel to actively monitor employees as well as contractors. So we feel very good about all of the actions and the mitigations we put in place not only to protect our operations from infection through an employee, but also contractors. So we feel we're in a very good position to manage that going forward.
Vincent Anderson: That's great. And then just to go quickly back to the market. Erin, you touched on Asia being kind of pivotal to watch for in the near-term for export opportunity, and you mentioned textile weakness earlier in your comments. But from an outsider perspective, it looks like Chinese textile manufacturers have been much slower to recover than kind of the rest of its manufacturing base. One, is that your impression? And two, are you seeing any impact on the Asian capro trade as a result of that? Or just anything else you'd want to note there.
Erin Kane: So, it's certainly being the largest application for nylon globally, and it being tied to consumer confidence, right, in consumer demand. I think the -- your observations have been consistent with what we've seen. In general, I think a slower start across the board. But again, we still see a -- see it as a positive that there is a start-up in the region. Operating rates are probably around 60% or so kind of that, best in China right now. But again, the pace here, the shape of the recovery will be unique, right? I think to this consideration. And again, we're just going to be nimble, be agile, meet demand where it exists, make sure that we're very flexible on the product mix we need to make. And then we'll watch here, too, right, with May and June, a little bit of the opening here in domestic markets. We've seen retail stores in some states, potentially reopening. And it's one of these things where it's going to play out differently, I think, than previous considerations, but we've proven that we can navigate through other cycles, and we're staying focused on being able to prove it here as well.
Operator: Our next question will come from Chris Moore, CJS Securities.
Chris Moore: Just you had referenced the kind of cumene sourcing. It looks like the incremental cost expectation for fiscal '20 is a little bit lower than previously plot. Maybe can you talk a little bit what's behind that?
Michael Preston: Yes. Sure. So if you recall, when we talked about this previously, we had a range of $10 million to $15 million of an impact for 2020, and that's compared to a $10 million impact last year. So the initial thinking was we would see flat or possibly a $5 million unfavorable impact. If you recall, in the discussions we've had inherently by expanding your supply outside the region where PES was a very local supplier to our plant just outside of Philly. Inherently, you have a lot more logistics costs as you perhaps source more material down from the Gulf, which will require spot vessels or other regions of the world. We've been able to really look at this and optimize the logistics spend to get more, I'll say, more material per vessel. And vessel that we currently charter up from the Gulf, which will significantly reduce the cost, and we're thinking at this point that we could be flat or even $5 million favorable as compared to last year. So -- but it really came down to the logistics spend, and we're going to continue to optimize to see if we can get it any lower as we go forward here.
Chris Moore: And maybe, Erin, can you just talk a little bit further about the ammonium sulfate outlook heading into the second half? Just more thoughts there.
Erin Kane: Great. Thanks. Glad you're well as well here in joining us today. So let me start maybe by reiterating, Chris, a bit on what we're seeing right now is we're in the heart of the season because demand certainly is robust with fertilizer heading out to the field. The season is earlier than we saw last year with corn plantings in top states, about 7% ahead of our 5-year average, and they're almost 15% ahead of 2019. And last week was, from what we hear, rather fast week with things moving rather briskly and about 1/5 of the corn crop was actually planted last week. So in the heart of it, seeing that robust demand, which is great for Q2. But as is typical, as we begin to approach sort of the end of spring and planting, and we will see and we do typically see global nitrogen fertilizer prices falling. This summer with fertilizer demand likely contracting and energy prices flattening those cost curves, as I mentioned, we anticipate and have seen projections that nitrogen prices could likely fall below the last two years, mid-summer lows. They maybe even approach those 2017 levels, right? So that's what we're going to watch for. However, right, I'll just remind you and everyone that ammonium sulfate does have its own considerations, right? We continue to stay focused on that value of sulphur nutrition. I mean, I also believe that the capital action related cutbacks, which we've seen in utilization, which could curtail that ammonium sulfate production as well will provide some offset, right, on the impact of that weaker nitrogen. So hopefully, that provides a little bit more color for you.
Chris Moore: Absolutely. And just last question for me. Do you -- are there any potential opportunities kind of on the back end of the pandemic? Any specific competitive landscapes that might shift a little bit? Or any thoughts there?
Erin Kane: Yes. No, it's a great reflection here. And I think the one we need to watch, right, is that when you look at the caprolactam nylon space, right? It's been an industry with oversupply. We believe we're operating now with more than 50% of the sort of cost curve for caprolactam, operating below cash cost, this isn't necessarily completely COVID related here, but we came into it already in that position, right? And so we're testing the trough levels that we saw back in 2016. And we sat there last time for about, let's call it, 15, 16 to 18 months. And at the end of that, we did see the rationalization of a plant here in the U.S. as well as some capacity in Europe. And I think that's the one thing we have to watch here, right, is, does the extension of the downturn here, right, on the cycle for nylon and the additional considerations and extension that COVID could play into that, will it create another round of rationalization. But that's simply no signs yet, but probably the one when you think about an opportunity that would restructure the space.
Operator: Our next question will come from David Silver, CLK.
David Silver: I have a number of questions. I think maybe -- if you don't mind, I just would like to get a couple of points clarified from your prepared remarks. So -- and I apologize I just wasn't writing fast enough on these. But Erin, I think you cited a decline during the month of April, year-over-year in nylon demand, and I would like to -- if you wouldn't mind just repeating what that percentage decline was and then also with the $75 million cash balance that you mentioned in the second quarter? I missed the context of that. Was that boost from the $31 million at the end of Q1? Was that due to additional drawdown? Or was that from, I guess, recovery of working capital and other sales of products? If we could just -- if you could just clarify those two points that would be my first thing. And then I'll follow-up.
Erin Kane: Yes, sure. Let's take those in order, right? So certainly, on the -- what we saw in April, the decline we saw was 20% to 30%. And that's coming from a number of sort of applications certainly, the automotive shutdown would back up on the engineering plastics side. And then we did have some customers for their own health and safety sort of COVID impacts had some shutdowns of their operations. So -- but it did culminate in that 20% to 30% impact in April.
David Silver: Okay. And then on the cash balance build up?
Erin Kane: Yes.
Michael Preston: Sure. Yes. I'll take a -- so as you know, we use the revolver as part of our credit facility as our base source of liquidity. On the balances will ebb and flow, and that's really kind of the benefit of having the revolver as we have that flexibility. And as you indicate, we ended the quarter with $31 million of cash. As a precautionary measure, we did draw down additional funds out of the revolver, are holding higher cash balances. Again, as a precautionary measure, as we navigate through this more challenging environment here, that balance, that cash balance will fluctuate. It will go up and down depending on our cash flows and how we manage that. Our view is that the whole banking industry is in a much better shape from a capitalization perspective now than they were relative to the 2008 and 2009 period. So really, it's just strictly precautionary holding those cash balances a little bit higher here than we normally would. And we'll just navigate and manage it as we go through here, as we get better visibility as we understand the impacts on demand and operations as we go forward here. But this is, again, strictly precautionary at this point.
David Silver: Okay. I wanted to ask you about the acetone demand outlook and in particular, this emerging or newer outlet for acetone into IPA that you did highlight in your prepared remarks. So I had a crack open my industrial chemistry book here. But it's an interesting alternative or incremental use. I was wondering internally, what do you think that that incremental route or used end market for acetone could amount to maybe in the shorter term, where demand is spiking, but also whether you think that route from a fundamental perspective is going to be a sustainable source of incremental demand longer term?
Erin Kane: Great question. And since you offer that you opened up your chemistry block, I'll try to build off of that, right? So perhaps in that chemistry book, you may have seen that there are two routes to make isopropyl alcohol. And certainly, here in the U.S. as well as globally, both routes, I think, are employed. One directly from propylene, the second from acetone, and I would say over long stretches, David, right, the trade-off of which route wins, it really depends on where acetone sits over propylene. But certainly in a time like we're seeing now and the demand, I think anybody who can make it is certainly making it. So we are servicing two large producers here in the U.S. who use that acetone route. And so I think, certainly, for the foreseeable future, right, the demand strength here is important. In the interim, it's certainly creating further tightness in addition to what we're seeing on the methyl methacrylate side for clear plastic sheeting for protective barriers. But I would imagine, I can't call it that we've seen over stretches and over cycles. There always is some IPA made from acetone. But at some point, when the markets are restored and the pandemic passes, I would anticipate sometime in the future that the normal trade-off between the propylene route and the acetone route will fall back into normal balance.
David Silver: Okay. All right. And then this is a question for Mike, I think, and it has to do with inventory levels and within the context of the current kind of oil price outlook. So I noted that sequentially, your inventory levels declined a certain amount, but from year-end to March 31. But I'm kind of scratching my head and I'm just kind of wondering oil wherever it is today, and it's much lower than it was even just a few months ago, and that, to me, kind of always makes me scratch my head and wonder about the potential for inventory losses or product that's produced with -- from petrochemical inputs based on a certain oil price and now we're at a different level. Could you maybe talk about that overall? What type of risk or effects, do you think the decline in oil price might have on your ability to pass-through the full production costs that are represented in your inventory at March 31?
Michael Preston: Yes. Sure. You did noticed, I believe, maybe on the last earnings call, you also asked about inventory. And we did see a reduction in the first quarter, really was driven by two areas. When you look at sort of the width and finished goods inventory, that really drove a reduction, and that was down roughly about $8 million in aggregate. We had acetone and ammonium sulfate, really the two primary drivers of the inventory reduction. And much of that standard product inventory that we had at the end of the year, we did sell in the first quarter as well. From an oil price perspective, it sounded like you're referencing sort of an accounting consideration around lower cost to market. And we evaluate that, we'll evaluate that every single quarter. As we set our standard costs. And when you look at the inventory level, the values of the inventory, they are based on our standard cost and the amount of volumes we have in inventory, and that's the value that does go into the inventory. We will evaluate that every quarter in terms of those values relative to the market pricing. When you look at the finished goods, and we'll make adjustments as appropriate. If you do see oil prices decline and go below in terms of the actual product cost relative to the sales prices, if the sales prices fell below the product cost, we need to consider how that will impact inventory values. But I would say, again, economically, that is an accounting consideration. Economically, when you look at it, still the considerations around the fact that 50% of our business is passed through. We passed through those raw materials as they go down. We also increase prices as raw materials go up. And our variable margin is largely protected. That economic consideration is still in place. And in terms of the accounting considerations on -- from a lower cost of market, as far as we can tell right now, the risk is relatively low.
David Silver: Okay. And I just have one final question. This would be for Erin, and it's kind of be a follow-up on your answer to the post pandemic question that you handled earlier in the Q&A. But you did focus on the potential for reduced supply. I was going to ask you maybe to think -- have you thought about or is there any potential demand opportunity? So in other words, I mean, we'll see how things play out, but it's -- I've read other people predicting, and I kind of believe that there will be, to a certain extent, a reordering of global supply chains post pandemic. And my sense is that a wide variety of industrial products that are currently manufactured in China, let's say, might be redirected back into the domestic markets including North America. And I'm just wondering, from your perspective, have you had any high level conversations. I know it's very early days, but have there been any high-level contacts or inquiries? Just regarding a company or a product chain that currently might be manufactured, several steps in China or that region that post pandemic might be strategically relocated back into domestic markets, including North America.
Erin Kane: So, it's a great thesis, David. I think one that, we're all collectively watching for. And certainly, it's -- whether it's certain durable goods that where supply chains have been impacted to, certainly, we're seeing that on a more humanitarian basis relative to PPE and medication's and things of that. I would say, to date, we haven't received any indication of that just yet. I think there has been a quite amount of work, I think, for people in the last 4 to 6 weeks really to keep their employees healthy and safe and also to quickly adjust to rapidly changing demand signals domestically as well. I would say that we remain focused. Our conversations with customers are daily in touch points. And when we think about the portfolio transformation sort of opportunity for us in nylon in a I would say, a steady carpet decline, which we have talked about, right, and that need to continue to grow in packaging and engineering plastics, I will say that those conversations and that work continues, right? And we I think just out sort of on a year-over-year, quarter-over-quarter basis. Our sales into the EP space is up a 70%. And to an industrial application space, it's 20% to 30%. So again, we're very focused on building those relationships, getting products into trials and customer applications. So recognizing that, that has been slowed, right? A lot of that work for those new products and those applications will come. But I think, again, building out the connections is important for us here, so that we are seeing as that trusted reliable supplier who can bring to bear the products that are needed, should that thesis play out. So we're doing it just one from the standpoint strategically we need to. But it hopefully is positioning us well to be there should those decisions be made.
David Silver: Okay. I know it's pretty very early days. So I thank you for your comments on that. Appreciate it.
Operator: Thank you very much. Our last question will come from Charles Neivert.
Charles Neivert: One quick question. I've been -- in terms of the ammonium sulfate, obviously, we've got the summer lull, but you guys typically sell a lot into South America and the real is obviously change its value relative to the dollar. And my understanding is Brazilian farmers are doing rather well. Have you gotten anything early sort of inquiries or ideas about what South America might look like this year because it could be potentially a very strong market, given that their farmers are doing well. It looks like there's going to be some acreage expense and things like that. So have you gotten any early indications yet on that front?
Erin Kane: Yes, I would say it's probably a little early, right, as we focus here on moving certainly the granular out to the fields here in Q2. And as you rightly noticed, we do typically switch to that Q3 sort of export consideration. I think that we have seen, certainly, what would be our normal pace, I would say, right now, of inquiries for bookings into South America, again, not just Brazil, but Peru, through Latin America and Central America. So I think as we proceed over the next couple of weeks and months, we'll get a better sense of where that sits. And obviously, one of the things that like you say, watching on the total sort of plantings and what crops, I think are going to be key, right, as we think about getting into that second season and certainly into the fall. But good observations. I appreciate that, Charles.
Charles Neivert: Great. Also, in terms of the acetone side of things, do you guys feel like you're being helped at all by the fact that is phenol a little bit on the weaker side, which means you're getting some people who are ratcheting back some phenol production and therefore, adding to the tightness or snugness that you might be seeing in acetone? So obviously, the demand is better, but you also may be seeing a supply hit. Is that something that you guys are facing or anyone else that you can see in the industry is facing? Again, it just helps the acetone side.
Erin Kane: Yes, there's certainly a number of factors, right, that are playing into sort of the acetone dynamic and certainly the ability -- and restoration, really where we were after for that pricing recovery post the antidumping determination. So certainly, on the supply side, if you look Q1 year-over-year, only about 7,000 tons of imports came in compared to 50,000 tons this time last year. So that certainly has moderated post the antidumping. As you know, certainly, phenol operating rates globally, BPA into polycarbonate, epoxy resin for auto and construction, certainly are weakening from that perspective. So again, you're -- with phenol demand down, utilization comes down, acetone's supply comes down, then coupled with what has continued to be fairly robust acetone demand. You've got the MMA market here in the U.S., we believe, sort of operating at 80 plus percent. Again, that pull-through into PMMA for clear sheeting continues to be doing well. Architectural coatings seems to have been held up thus far, too. I think with certainly people may be painting their houses or their homes and DIY, but architectural has held up over sort of industrial and automotive coatings. But all of these are playing out, I think, to create that supply-demand dynamic that is enabling really where we wanted to see the market get to, which was that restoration of price and fair value to the end application. So kind of a combination of all those things that you point out.
Operator: I would now like to turn this conference back over to Erin Kane for concluding remarks.
Erin Kane: Well, great. That was a terrific hour spend with everyone and as we approach here. I just wanted to thank everyone again for their time and interest this morning. It is a unique time, but we remain focused on driving best possible outcomes and optimizing the levers in our control to create value. I'm very proud of the way our entire team has come together to keep our business moving forward during this dynamic and unprecedented time. And lastly, I'd love to call out that, as you saw in our press release this morning, we recently published our third annual sustainability report, which can be found on our website and highlights many of the ongoing initiatives happening around the organization. And I really encourage all of you to take a read-through it. So with that, we look forward to speaking with you again next quarter. Please stay safe and please be well. Thank you.
Operator: Thank you very much. Ladies and gentlemen, this now concludes today's conference. You may disconnect your phone lines, and have a great rest of the week. Thank you.